Operator: Good afternoon. My name is Erica, and I will be your conference operator today. At this time, I would like to welcome everyone to the CRM Q4 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. John Cummings, you may begin your conference.
John Cummings - salesforce.com, inc.: Thanks, Erica, and good afternoon, everyone. Thanks for joining us for our Fiscal Fourth Quarter and Full Year 2018 Results Conference Call. Our results press release, SEC filings and a replay of today's call can be found on our IR website at www.salesforce.com/investor. With me on the call today is Marc Benioff, Chairman and CEO; Keith Block, Vice Chairman, President and COO; Mark Hawkins, our President and CFO; also joining with us today is Bret Taylor, our President and Chief Product Officer. As a reminder, our commentary today will primarily be in non-GAAP terms. Reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings press release. Additionally, our commentary today and the guidance we provide are under prior accounting standards, ASC 605, pre-revision ASC 340 and ASC 325, and we expect to provide updated guidance under the new accounting standards, including ASC 606, ASC 340-40 and ASU 2016-01 all of which we adopted on February 1, 2018, and we'll do that in the coming weeks. Some of our comments today may contain forward-looking statements which are subject to risks, uncertainties and assumptions, and should any of these materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements. A description of these risks, uncertainties and assumptions and other factors that could affect our financial results are included in our SEC filings, including our most recent report on Form 10-K. So with that, let me turn the call over to you, Marc.
Marc Russell Benioff - salesforce.com, inc.: All right. Thank you so much. I really appreciate that, John. And I just want to congratulate our entire company and all of our shareholders and investors on just what has been an outstanding Q4, and this has really capped off just a truly record year for Salesforce. This has also just been an outstanding quarter of growth. You can see that we have propelled Salesforce over $10 billion revenue milestone, and we couldn't be more excited about that and having that fiscal year behind us because now our vision has never been bigger or more exciting as we have a very clear trajectory to $20 billion in revenue. No other enterprise software company has achieved this scale faster. Certainly, no other enterprise cloud applications company has achieved this scale faster, and it's our dream to get to $20 billion faster than anyone else. It's been a relentless focus on our customer success. And not just customer, but also all of our community, all of our employees, our customers, our partners, all of our key stakeholders, and the development of just an incredible culture that has allowed us to scale this organization and continue to strengthen our position as the world's number one CRM. There has been incredibly strong demand and execution, especially this quarter, across every industry, across every region, cloud, all customer segments, and as we get through this opening comments, I'm sure you will agree this may be perhaps our best quarter ever. We're on a path to exceed $20 billion faster than any other enterprise software company in history, and we're all very proud of that. Salesforce is number one today in CRM, which is the fastest growing segment of the enterprise software industry. Fiscal year 2018 revenues finalized out at $10.48 billion, up 25%, and that 25% obviously dramatically above where we thought we were going to be when we first gave you a forecast more than a year ago, 24% in constant currency. We're delighted with that result. Q4 revenue of $2.85 billion, up 24% year-over-year, 21% constant currency. But perhaps what we're most excited about and speaks to the velocity of the company, more than $20 billion of booked business on and off the balance sheet, up 40%, and that exceeded our expectations. Deferred revenue of $7.09 billion, up 28% year-over-year, and 25% in constant currency; unbilled deferred revenue of $13.3 billion, up 48% year-over-year; Q4 operating cash flow of $1.05 billion, up 49% year-over-year; and fiscal year 2018 operating cash flow of $2.74 billion, also up 27% year-over-year. We are also then able to raise our full year fiscal year 2019 revenue guidance by $150 million, bringing us up to an expected consistent growth rate projected over the next year of more than 21%. Great companies do more than create great products and great services. Companies like Salesforce build trust with all of their stakeholders, with our employees, our customers, our partners, our shareholders, all of our community, or as we say at Salesforce, our Ohana, our family. That's how we're running Salesforce from the beginning. We establish trust as our number one value. Putting our values in action, we're making our customers successful and improving the state of the world at the same time. And I have to say, I'm here in New York today, just went through our Salesforce tower here in New York. New York is our largest market in the world. Incredibly exciting what's happening here, and when I see all these incredible people working at Salesforce, they're truly the best and brightest that I've seen. It's why we're recognized now by Fortune as the number one best place to work in the world. That is incredible for us. And also Fortune published earlier their Most Admired Companies list in the world, and we were ranked the 15th Most Admired Company in the world. And Forbes said we're the most innovative company in the year and their innovator of the decade. We couldn't be more pleased. And we could not have done it without all of you. We realize that we are all one family working together. And we're very grateful. And we're looking forward to an amazing fiscal year 2019 ahead of us. So with that now, let me turn this over to Keith Block in San Francisco. And Keith will give you a perspective of how the company is operating. Keith, as you know, is our Vice Chairman and Chief Operating Officer. Keith?
Keith G. Block - salesforce.com, inc.: Hey. Thanks, Marc. Good afternoon, everybody. As you've already heard, we delivered just an outstanding fourth quarter to complete an exceptional year. We saw accelerating demand and strong execution coming from every industry and every region and every cloud and across all of our customer segments. More than ever, CEOs are coming to Salesforce because we fuel their growth, and we are fueling their transformation. Salesforce continues to be mission critical to the world's greatest companies, and our strategic relationships are deeper than ever. In fact, we have nearly twice as many $20 million-plus relationships than we did just one year ago. Twice as many. And our execution in Q4 was as strong as I've ever seen in my career. We closed more new business in Q4 than we did in the entire fiscal year of 2014. That is just four short years ago, and it speaks volumes to the momentum that we now have in the market. We are closing more big deals every quarter. In fact, the number of million-dollar-plus deals grew 43% in Q4. And our average deal size continues to expand. Also in the quarter, leading companies, including Siemens and ABB and Google turned to Salesforce to help them transform and grow. Now as you know, international expansion is one of our key growth levers. And we delivered very strong growth in the quarter, 31% in EMEA and 26% in APAC in constant currency. In EMEA, ABB, one of the world's leading industrial technology companies, went all-in with us this quarter, and they're using Salesforce to get a broader understanding of their customers across sales, service and marketing. Einstein AI is going to enable them to drive smarter sales and build deeper customer relationships. ABB also has an incredible vision to combine the power of Salesforce with ABB Ability and their industry-leading digital offering that enables 70 million connected device. Very, very strong partnership with ABB, and we are thrilled to continue to grow along with them. We also formed a new relationship with Deutsche Bahn, which is the world's second largest transportation company. And we expanded our relationship with BBVA, who is rolling out our financial services cloud for retail banking to more than 24,000 advisors. We also formed a new relationship with one of the largest insurance groups in Europe, and they're going wall-to-wall with Salesforce to get a complete view of their business. And also to increase their employee engagement and deliver a seamless customer experience across all of their brands. Great success in EMEA. Also moving over to APAC, we continue to see just excellent momentum in financial services, specifically in Australia, where we are deepening our relationship with AMP, a leading wealth management company. We also had one of our largest platform deals in APAC with an exciting company called Coin (10:54). If you're not familiar with Coin (10:56), they're innovating and scaling their cryptocurrency exchange on the Heroku platform. And in Japan we had another very strong quarter of incredible growth and strengthened our relationship with companies like Nissan and Amada. So really to capture the opportunity in front of us, we continue to increase our international go-to-market resources, operations and infrastructure to make sure that we can serve our global customers and continue our enterprise scale. In fact, in FY 2018, nearly 40% of our new hires were in regions outside the Americas. Now turning to industries, we also had a very strong performance across the board, but specifically in financial services. Now 18 of the top 20 U.S. and European banks rely on Salesforce. And in fact, in Q4, nearly half of those banks expanded their business with us in the quarter. Half of those banks expanded their business with us, again something that we're very, very proud of. That includes a significant expansion with one of the world's largest banks in the world, which will be deploying Financial Services Cloud across all their retail branches. TD Bank also selected Financial Services Cloud for retail banking to streamline their mortgage application process for customers. In addition, we expanded our relationship with Transamerica. They are extending Salesforce to an additional 60,000 insurance agents to give them a unified view of their clients. We also expanded with Pacific Life and MassMutual. In healthcare, we expanded our relationship with Anthem as well as another Fortune 50 healthcare company, who is using Service Cloud to better understand patient needs and provide more personalized care. We also deepened our relationship with the Cancer Treatment Centers of America, which is using Health Cloud to improve patient outcomes. Now you're going to hear more about our innovative healthcare customers and partners in Las Vegas next week at HIMSS, which is the country's largest healthcare technology conference. As for our ecosystem, Salesforce continues to be the growth lever for our partners, and more than 55% of our new business is generated with our partners. And at the close of FY 2018, our partners surpassed 110,000 Salesforce certifications. This is an increase of more than 30% over last year. Today, we have strategic partnerships with industry leaders, including Dell, IBM, Amazon, and in FY 2018, as you know, we went live on AWS infrastructure in Canada and Australia. And at Dreamforce, which was absolutely outstanding, we announced a new strategic partnership with Google to connect Salesforce with Google Cloud and Google Analytics to enable a smarter, more collaborative experience for customers. On the topic of integration, as you know, this past year we were focused on making sure that we integrated the incredible companies that we acquired in FY 2017, including Demandware. I will report, this is going very, very well. In fact, during the 2017 holiday season, the Commerce Cloud touched 540 million unique shoppers. Commerce Cloud is now one of the largest commerce environments of the world, alongside major marketplaces such as Amazon and Alibaba. Now Marc also mentioned that trust is our number-one value. It's obviously very, very important to us. But innovation is a core value as well, and in the fourth quarter, we rolled out our Spring '18 release to all of our customers which has over 300 innovations, including exciting enhancements to the Lightning platform and new Einstein innovations across our clouds. And speaking of Einstein, we are seeing tremendous momentum, and we just hit an incredible milestone producing over a billion predictions in a single day, and nobody but Salesforce can deliver these deep customer insights at scale. So it's very, very exciting with that momentum. Finally, I want to give a quick update on the EU General Data Protection Regulation, which will come into effect on May 25. We welcome the GDPR as an important step for customers to strengthen their privacy programs, and we are committed to helping our customers prepare for it every single day. So in closing, I want to thank our customers, our partners, our employees for their continued trust in us, and for contributing to just an outstanding Q4, and just great full year results. So thanks everybody for that. And now I'd like to turn it over to Mark Hawkins, who will talk about our financial execution in the quarter. Mark?
Mark J. Hawkins - salesforce.com, inc.: Great. Thanks, Keith. And as you've heard, we delivered another year of outstanding financial performance. We posted strong top line and operating cash flow growth, and we importantly delivered non-GAAP operating margin expansion for the fourth consecutive year. This was particularly significant, given the exceptionally strong new business we achieved in the fourth quarter. Let me discuss the highlights of Q4 and FY 2018. The fourth quarter revenue grew 24% in dollars and 21% in constant currency, excluding the year-over-year FX tailwind of $64 million. We also saw a sequential FX tailwind of $8 million. For the full year, revenue grew 25% in dollars and 24% in constant-currency. We drove strong year-over-year subscription and support revenue growth across each of the clouds in the fourth quarter. Sales Cloud grew 16% and exited the year at $3.7 billion in terms of the run rate. Service Cloud grew 28% and is now at a run rate of more than $3.1 billion. Platform and Other grew 37% and is now at a run rate of more than $2.1 billion. And Marketing and Commerce Cloud grew 33% and is now at a run rate of nearly $1.6 billion. Each of these clouds benefited from an FX tailwind that was similar to our revenue tailwind of approximately 3%. Dollar attrition for the fourth quarter, including Marketing Cloud was slightly below 10%, which is an improvement over last year. Turning to margin, you may recall in November we discussed the dynamics of increased operating margin pressure associated with accelerating growth during our Analyst Day presentation. We refer to this as model leverage. This is exactly what transpired in the fourth quarter, as we saw an acceleration in our new business year-over-year and therefore incurred higher commissions and other selling-related expenses. In addition, there's four factors impacting our selling cost; first, our enterprise strength; secondly, our strength in our international businesses; third, the investment and the strength in our newly acquired businesses; and then fourth, the acceleration of our sales hiring. In that context, we're pleased to drive operating leverage in the business, and as a result we delivered 128 basis points of non-GAAP operating margin improvement for the full year. The fourth quarter non-GAAP EPS was $0.35, up 25% over last year. For the full year we delivered $1.35, up 34% over FY 2017. EPS benefited by approximately $0.02 in the fourth quarter related to net realized gains from our strategic investment portfolio. Q4 operating cash flow was $1.05 billion, up 49% year-over-year. For the full year we delivered $2.74 billion, up 27% over last year. This translated to an operating cash flow yield of 26.1%, which was up slightly over FY 2017. CapEx for the year was $534 million or approximately 5.1% of revenue, down from 5.5% in FY 2017. CapEx primarily consists of leasehold improvements followed by global data center investments. For FY 2019 we expect CapEx to be approximately 5% of revenue. Turning to free cash flow, and that's defined as cash flow less CapEx, this was $914 million in the fourth quarter, up 63% over last year. And I'm very pleased to report that our full year free cash flow was $2.2 billion, up 30% over FY 2017. Deferred revenue ended the year at more than $7 billion, up 28% in dollars and 25% in constant currency, excluding an FX tailwind of $130 million. On a sequential basis, deferred revenue benefited from an FX tailwind of $56 million. Our unbilled deferred revenue ended the quarter at approximately $13.3 billion, up 48% over last year. And let me elaborate on those results. In addition to a very strong quarter of new business that we discussed, we also had a very strong renewals quarter, including some of the largest renewals in our history. Looking at our top 10 customers up for renewal in Q4, eight of the 10 expanded their relationships with us in this quarter. Both of these factors drove this outstanding growth in our billed and unbilled deferred revenue. Moving on to guidance, coming off our record fourth quarter we are raising our full year 2019 revenue guidance to $12.6 billion to $12.65 billion, up 20% to 21% year-over-year growth. Our performance in FY 2018 and especially the fourth quarter reinforces our confidence and our ability to reach our long-term target of $20 billion to $22 billion in revenue by FY 2022. With consistent, durable growth guided for FY 2019, we expect to deliver 125 basis points to 150 basis points of non-GAAP operating margin improvement in FY 2019 driven by continued improvements in operating leverage. We are lowering our fixed long term projected non-GAAP tax rate to 21.5% for FY 2019 from 34.5% in FY 2018, primarily due to the new U.S. Tax Act, and this rate reflects our currently available information. Due to our ongoing analysis for the Tax Act over the measurement period, as well as the rapidly evolving international tax environment and the operations of our business, this rate is subject to change. We expect other income and expense to be roughly flat year-over-year when excluding the net realized gains from strategic investments recognized in FY 2018. Keep in mind that with the adoption of ASU 2016-01 in Q1, there may be additional OIE volatility as we mark-to-mark our investments as required. We are initiating our FY 2019 GAAP diluted EPS of $0.61 to $0.63, and a non-GAAP diluted EPS guidance of $2.02 to $2.04. We expect the full year fiscal 2019 operating cash flow growth of 20% to 21% year-over-year. For Q1, we're expecting revenue of $2.925 billion to $2.935 billion, GAAP diluted EPS of $0.09 to $0.10, and non-GAAP diluted EPS of $0.43 to $0.44. Turning to deferred revenue, as we transition from ASC 605 to ASC 606 in Q1 we will no longer be reporting or guiding to deferred revenue. However, for consistency, we want to provide you with a bridge to the first quarter until we report under the new accounting standard. In that context, we expect our year-over-year deferred revenue growth of 23% to 24% in Q1. Let me remind you that these results in our guidance are all under the prior accounting standards, including ASC 605 and pre-revision ASC 340. We expected to provide our updated Q1 and FY 2019 guidance, including revenue and EPS under the new and revised accounting standards in the first quarter. So to close, our fourth quarter results drove an outstanding finish to the fiscal 2018, including our fourth consecutive year of non-GAAP operating margin improvement. I'd like to thank our employees, our customers, our partners, and yes, our shareholders as well for your continued support. And with that, I'd like to open up the call for questions. Thank you.
John Cummings - salesforce.com, inc.: Erica, we can begin the Q&A portion. Thanks.
Operator: And your first question comes from Karl Keirstead from Deutsche Bank.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Thank you. I wanted to congratulate you on that unbilled backlog number of $13.3 billion. That's amazing. And maybe it's a two-parter, maybe for Keith. Keith, what's causing the unbilled to ramp so high? I know Marc mentioned a lot of renewals. But are these larger deals, longer term contracts that are contributing to that? And then maybe for Mark Hawkins, we don't know what the duration of that unbilled backlog is. Can you offer any color as to how it'll roll into deferred revenue in fiscal 2019 and fiscal 2020? Thank you very much.
Keith G. Block - salesforce.com, inc.: Yeah. Hi, this is Keith. So thanks for the question. I mean, there's a few things here that I think are really contributing to what's going on here. And at the end of the day, it really comes back to the strategic relationships that we're driving with these customers. They are more deeper, they are more meaningful relationships. We're driving their digital transformations, and that results in more large contracts than ever, more large customers than ever, longer contracts in terms of duration, and a lot of multi-cloud solutions, because we're selling solutions and not so much features and functions. So all those are certainly contributing to the financial metrics that you're referencing in your question. But at the end of the day, these are deeper, longer relationships with these customers, and that's why the deals are longer and we're seeing the renewals, which obviously is a huge, huge indicator of their confidence in our solutions, and in our partnerships. And we've had a record number of very large renewals as well.
Mark J. Hawkins - salesforce.com, inc.: Yeah, and I'll just add on to Keith's point. I totally agree. The deeper and strategic relationships, people want to go longer and bigger with us, as you can see with the numbers. In terms of earl (25:07) specifically, the duration for unbilled DR, that duration is up slightly, about a month.
Operator: And your next question comes from Kash Rangan from Bank of America Merrill Lynch.
Kash Rangan - Bank of America Merrill Lynch: Hi. Congratulations on a spectacular finish. It's been, what, 13 years, 14 years since you went public. Question for Marc. As you look at other large technology companies in software, without naming names, they have had a hard time getting to $20 billion in revenue and maintaining very solid growth rate. How do you think, how should we think about salesforce.com given your organic revenue target of $20 billion? How much can the company continue to grow at an exciting enough pace capitalizing on all the innovation that you see in the industry? What is different about this cycle versus the older peers that have struggled to maintain that kind of growth? That's it from me. Thank you. Congratulations.
Marc Russell Benioff - salesforce.com, inc.: Well, thanks Kash. And I'll really just start out by congratulating Keith and his whole organization, because honestly I've just never seen a quarter like this. This was a blow-out quarter. And just the performance of that organization and their acuity, capability to deliver was shocking even to me. And it shows up right there in that number, and you can see it right there in front of you now. I've been really excited to be able to talk about that with you, more than $20 billion of booked business on and off the balance sheet, up 40%. There is no way we could have said that to you a year ago. That is beyond our expectation, and it really has to do with the performance of the organization, number one. Number two, and this really gets to your point, I think that – and I had dinner last night with 20 Fortune 100 CEOs here in New York, which is one of the reasons that I came to town. And of course, we're all on a very fast moving economic freight train. We've seen incredible increase in investment activity with our customers, especially accelerated with these tax cuts. That has been amazing to us. But squarely in the center of each and every one of their consciousness is the digital transformation that their company is going through. It doesn't matter if they're a consumer product goods company CEO or financial services or retail or any industry or any geography. Every CEO is thinking about their digital transformation. And I think you and I know that every digital transformation begins and ends with the customer. This is very powerful. And it's why we have so much activity in our company. Of course, we're the number one customer company in the world. No other company in the history of the software industry has been as focused on customer-relationship management, but how companies can have a customer transformation at Salesforce. And this, and this alone, focus, has accelerated our growth. You can see that in the numbers. So certainly how we finished our year in fiscal year 2018 is not where we thought we would start. We raised guidance I think almost in each and every quarter, and yet we still ended up above that. And that's why we've raised again here $150 million. This is the most we've ever raised in the history of the company, because we're just ahead of where we thought we would be. So we are, obviously $10 billion is now behind us, and $20 billion is ahead of us. And it's our dream, we're going to be the fastest to $20 billion. But when you have $20 billion already on and off the balance sheet, you know that that is – we're a huge step on the way there. So that's what I couldn't be more excited about the position the company is in, its competitiveness, its ability to perform, the quality of its customer relationships, the quality of the products, the integration of the acquisitions, the culture, Fortune number 1 best place to work. All of these things have come together in just a really beautiful way, and I'm extremely grateful.
Operator: And your next question comes from Richard Davis from Canaccord.
Richard Davis - Canaccord Genuity, Inc.: Hey, thanks very much. Just kind of a strategy question. So if you think about it, whatever, 15 years ago no one thought software companies could run hardware, and then today you have Amazon, Google, Microsoft with kind of cloud computing systems. So the question that I wrestle with is, right now you guys kind of use those compute layer firms for surge capacity, you and others. But why or why not would it make sense for Salesforce to push out most of its compute mode to these specialists? Does that ever make sense in the future? Just kind of thinking about full circle in terms of evolution? Thanks.
Marc Russell Benioff - salesforce.com, inc.: Yeah. Well, I think that the way to think about that is, we have a comprehensive integrated approach. And where it makes sense to use infrastructure, for example, in a country like Canada or Singapore, we have tremendous relationships with organizations like Amazon and Google, where we're going to do that. Even during the quarter we've announced that we're going to be using – IBM has become one of our preferred cloud providers. That's appropriate to have our ability to operate proprietary data centers like we do here in the United States. We also use that infrastructure, for example, underneath one of our core platforms, Heroku, as you know, which has become one of the largest application development capabilities in the world. And we are also live on Amazon in Canada and Australia. So we will use the correct provider at the correct time, whether that's us or whether that's Amazon, Google or IBM.
Operator: Your next question comes from Heather Bellini from Goldman Sachs.
Heather Bellini - Goldman Sachs & Co. LLC: Great. Thank you. Marc, listening to your comment about the macro, I guess I'm wondering, how far back would you have to go to find a time that you were equally as positive on the demand environment? And I guess the second question is just, with Einstein being embedded more and more into your product set, how do you see monetization evolving? Thank you.
Marc Russell Benioff - salesforce.com, inc.: Well, Einstein, let's start there. I mean we're ahead of our predictions there also, and that's what Einstein's all about. We are doing I think it's more than a billion predictions a day with Einstein already. So our systems are dramatically enhanced through our deep machine intelligence, machine learning, and deep learning architecture, known as Einstein, Salesforce Einstein, which has become a critical part of our CRM, first and foremost, highly differentiated against our competition, who has yet to be able to put in artificial intelligence of a quality, capability and scale that we have it deeply integrated into our application set across the board, whether you're using Commerce Cloud like Adidas is, whether you're using Sales Cloud like Cisco is, or whether you're using an incredible product like Service Cloud like Intuit is, Einstein is in there now. And customers love it because it just makes their employees better. It's the perfect use case for artificial intelligence, enhancing human performance. And we're going to do a lot more of that. We've only really been at this now for about a year, but it's going far better than we expected, and we'll continue to enhance and extend our artificial intelligence capability. In regards to the overall demand environment, and my personal experience is with Chief Executive Officers over the last month in both international, specifically in Davos where I was with hundreds of CEOs, or in other business forums here domestically where I've also been with hundreds of CEOs, I can empirically tell you I have never seen a demand environment like this. I cannot quantify that. I can just tell you that every CEO is using the positive economic environment, but also the domestic tax cuts as ways to accelerate their digital transformations, and it is putting it number one on all of their list, which it should be. And this is really exciting for us and for others, of course. But for a company like us, we can help these companies get connected with their customers in a whole new way. And that is, we have the ability, we have the great products and we have the distribution capacity to be able to directly address them. I hope that answers your question, Heather.
Operator: And your next question comes from John DiFucci with Jefferies.
John DiFucci - Jefferies LLC: Thank you. A question I have is on the enterprise business, and I think it's mainly for Keith but maybe for Mark Hawkins too. Keith, from our work, that enterprise business really started to kick in a little more than 2 years ago. And one of the nice things about this segment is that, when you become a strategic vendor or partner to your customer, some of the stuff that Marc Benioff was talking about, in time they come back and they buy more from you, which is often the form of add-on large deals again, and whether it's more seats or more products. And you talked about this happening in financial services, but we're also hearing about it in your other vertical focus areas. I guess the question is, shouldn't those add-on or follow-up deals essentially be more efficient captures, and for instance, perhaps requiring a shorter sales cycle? Shouldn't this at least directionally be more profitable over time? And I realize you've already given guidance, Mark Hawkins has, and you have other investments to make. But just on this particular, I just want to make sure I understand how this should evolve over time.
Keith G. Block - salesforce.com, inc.: Yes. Hi, John.
Marc Russell Benioff - salesforce.com, inc.: Hey Keith?
Keith G. Block - salesforce.com, inc.: Yes?
Marc Russell Benioff - salesforce.com, inc.: Before you jump in on that, I just want Mark to specifically address that because...
Mark J. Hawkins - salesforce.com, inc.: Yes, happy to do so. And John, thank you for the question. In fact, we are raising our profitability, as we talked about. This is the – I just guided the fifth year in a row of expanding the profitability. One of the things that we see kind of akin to what we talked about at the Dreamforce Analyst Day is that there are some costs incurred with growth basically that impact the short-term, but we still were able to expand our operating margin.
Marc Russell Benioff - salesforce.com, inc.: Well, what happens when we blow out a quarter like we did in Q4, Mark? Does that impact then the amount of profit we show for that quarter?
Mark J. Hawkins - salesforce.com, inc.: In fact, it does. What happens is we'll take go-to-market expansions like commissions and that type of thing in the short-term, and now you'll see that show up. And then basically what we have is great long-term economics that are going to – that benefit. So one of the things that I would say is...
Marc Russell Benioff - salesforce.com, inc.: So what you're saying is, you'll see if we have a great quarter in expansion, for revenue for example, but in in-quarter expense for commission is also – it expands.
Mark J. Hawkins - salesforce.com, inc.: This is exactly right, Marc.
Marc Russell Benioff - salesforce.com, inc.: So should we tell Keith then to be selling less? Is that the point?
Mark J. Hawkins - salesforce.com, inc.: No, I think the thing that's powerful about this is that we have, if you think about creating an annuity, it has a lifetime economics of north of 35% margin. And what we're seeing is the short-term pressure even with add-on businesses, Marc. If we're paying commissions and people finish with a strong year, you're going to have accelerators and that type of thing, people have a strong demand environment, which we saw with the billed and unbilled DR. And in fact, that has a short-term depressive effect. But we still delivered, and this was the point, we still delivered the margin expansion despite that.
Marc Russell Benioff - salesforce.com, inc.: So we should tell Keith then to go ahead and sell in Q1.
Mark J. Hawkins - salesforce.com, inc.: Definitely.
Marc Russell Benioff - salesforce.com, inc.: All right. Very good. Keith, you can go ahead then and sell the first quarter, and if you blow it out again, it's okay. We'll handle it. Go ahead.
Keith G. Block - salesforce.com, inc.: Yeah, I think you gentlemen articulated that very nicely. So I think the only thing that I would add to that, John is, Mark used the phrase lifetime economics. And I think as we all know, we run a balanced portfolio of business, and we do a lot of work in the SMB, we do a lot of stuff in the mid-market. We have focused, as you pointed out, a lot in the enterprise as we continue to become a global company, and become an enterprise class company. That means longer, deeper relationships, as I said in my opening comments. But we really are playing the long game here. And I guess, there are two factors that I think about; one is the fact that we are able to land and expand in these large accounts, and over time build out those very strategic relationships which really culminates in these very large deals. I mean, when you think about the doubling the number of $20 million relationships that we have year-over-year, that's pretty staggering. But that also bodes well for the long game. And of course, there are natural – you would expect that there will be natural efficiencies over time. But the other thing you got to think about too is that many of these deals are aligned to the schedule of the customers as they deploy. A lot of this, as you suggested, is when a customer is up for renewal, we have the opportunity to expand the solution because the demand is there or because we've demonstrated our capabilities because we understand their business, because we speak the language of the customer and their industry. And that's why a lot of these renewals also included additional sales associated with them. So we're just executing very, very well across the board in the balanced portfolio. And I will say, I'm proud of every organization in the company that is focused in all these market segments and all these geographies. But yes, we have been focusing a lot on the enterprise. It's relatively a new capability within the age scale of Salesforce, but the execution has just been fantastic.
Operator: Your next question comes from Mark Murphy with JPMorgan.
Mark R. Murphy - JPMorgan Securities LLC: Yes. Thank you. So Marc, you described it as perhaps our best quarter ever. And Keith, you said execution was as strong as you've seen in your career, and it's a long, decorated career obviously. The number that is mind-bending is the 48% growth in the unbilled deferred revenue. And so I think that was growing in the 20%s ex-Demandware. Can you help us understand maybe just what that number looks like? If we try to normalize it for renewals and an extra month of duration, I mean, would it be 40%? If we just try to uncover the new ACV bookings growth, and if you can't do that is there just any other way to try to convey the acceleration that you mentioned in new business growth?
Mark J. Hawkins - salesforce.com, inc.: Keith, I can help a little bit on that too, if you'd like on the normalization if that would be helpful. Why don't I just share from that standpoint, if you think – again, we're talking about only unbilled DR. We put up a number of 48% because of the expanded and deeper relationships that the customers are driving, but if you adjust the term length...
Marc Russell Benioff - salesforce.com, inc.: Except for short that Keith had a good quarter.
Mark J. Hawkins - salesforce.com, inc.: He had a very good quarter.
Marc Russell Benioff - salesforce.com, inc.: A very good quarter.
Mark J. Hawkins - salesforce.com, inc.: And so even if you adjust when the customers want a slightly longer relationship because it's more strategic for the month, you have a number, instead of 48% it's growing closer to 39% on the unbilled if you normalize for that extension that the customers are asking for. So to Marc's point, even with that normalization, this is just a number that, maybe go back a lot of years to try to find that level. I hope that helps, and Keith you might want to add there.
Marc Russell Benioff - salesforce.com, inc.: Well, I think that, Mark, the analysts are probably, investors are looking at this and they're seeing, these are percentages that are much higher against companies that we've seen report this week and last week, cloud companies who are dramatically smaller than we are. So we're seeing much stronger rates. Is that fair?
Mark J. Hawkins - salesforce.com, inc.: I think the demand, the growth at this scale is really – it characterizes what you and Keith said about an outstanding quarter. I mean, the top line is very, very strong. And I think one of the things that Keith said, that I feel also based on talking to a lot of customers, is the deepness of the relationship is you can feel it, you can see it. We've been talking about this for a few years. But that's something that we really see in the commercial side.
Marc Russell Benioff - salesforce.com, inc.: And Keith, do you want to address that? I mean, coming into the quarter when we're on the earnings call about 90 days ago, you're obviously expecting a good quarter. We gave very strong guidance. How did the quarter play out for you?
Keith G. Block - salesforce.com, inc.: Well, look, I think this is a high performing company with a culture of high performance along with a culture of a lot of great things. And I think in every quarter we expect high performance. Again, I go back to my opening comments about, it was just really outstanding execution. We always expect great execution, and this happened to be one of those quarters for the – it's one for the ages. And so we're very, very excited about it. But if I think about what happened behind it, we've been investing for this for a very, very long time. When you think about our industry specialization, when you think about our international expansion, when you think about our partner ecosystem, these are three growth levers that have propelled us past the $10 billion mark. We're hurdling down the highway towards $20 billion, and these are foundational things that will help us turn the corner when we approach $20 billion. So you add all these things up with the right investments, with great execution, with a growth environment, a situation where the agenda for CEOs is growth, and our message and promise is all about growth, everything just aligned very, very nicely. So again, very, very proud of the entire company for just a complete set of execution in the quarter.
Mark J. Hawkins - salesforce.com, inc.: And, Keith, I just want to add one point that you noted here, which is, in Q4 we did invest an additional capacity to get prepared for this $20 billion to $22 billion in FY 2022 in terms of AEs and that type of thing as well. So that's a good attribute for us to position for the future. But that's also important for people to know it's an investment we made in Q4 as well.
Operator: And your next question comes from Raimo Lenschow from Barclays.
Raimo Lenschow - Barclays Capital, Inc.: Hey. Thanks for taking my questions. Congrats from me as well. I just wanted to see if you could double-click a little bit on the performances you saw in different clouds, especially Service Cloud reaccelerated again, and it's now on track to kind of maybe almost take over from the Sales Cloud. Just talk a little bit to what you're seeing on different ones, especially on the Service Cloud. Thank you.
Keith G. Block - salesforce.com, inc.: Well, this is Keith. I'm happy to jump in on that, and our President of Products is sitting right next to me, Bret Taylor, so he may want to comment as well. But look, we saw a very strong balance across all of our clouds, which speaks to, again, our ability to have multi-cloud solutions. And specifically around service, if you think about how companies are differentiating themselves, they differentiate with service. And we have the leading solution in service. We're the market leader. We continue to separate and take market share in Service Cloud. We've had very, very strong execution, and of course, that drags additional product. But again, service is very, very strong, and whether it's core service or whether it's field service, these are differentiated products. I don't know, Bret, if you want to respond to that.
Bret Steven Taylor - salesforce.com, inc.: Yes, I just want to say, I mean, when you think about transforming a customer experience, increasingly your brand is defined by your customer service, and that's really what this product represents. And beyond that, it's also being served by the technological changes we talked a lot about in the fourth industrial revolution. If you look at the confluence of artificial intelligence, the growth of devices like the Amazon Echo, the Google Home, mobility, they are transforming customer expectations about customer experience and customer service. And I think as consumer demand shifts and our platform really represents the opportunity for our customers to modernize their customer service experience, it's really becoming the tip of the spear for a customer strategy to transform their customer relationships.
Operator: And your question comes from Bhavan Suri from William Blair.
Bhavan Singh Suri - William Blair & Co. LLC: Hey, guys. Thanks for taking my question. I'll add my congrats to the host out there. But two sort of strategic questions, I guess, and maybe for everyone on the queue. So first on Einstein and AI, the use cases are pretty broad. So you've got some of this lead-scoring stuff, and then you've got stuff as deep as sort of some of the stuff you're seeing with Coca-Cola, Coors, and things like that. As you think about customers, how are they migrating, and what percentage have use cases that are much more complex? And then how are you guys thinking about pricing those? Because the ROI and the value-add as you get to more complex AI becomes dramatically – it's huge. And so how are you thinking about pricing it? And then my second question, maybe for Bret even, is Dware [Demandware] seems to be doing really well, but obviously that's just B2C. How are you all thinking about the B2B e-commerce opportunity, which, in dollars, may be even bigger than B2C? I'd just love to get some color on those two things. Thank you.
Marc Russell Benioff - salesforce.com, inc.: Well, I think Bret can specifically start with that B2B opportunity, huh, Keith?
Bret Steven Taylor - salesforce.com, inc.: Yes. I mean, I think that – I think the evolution of Salesforce as a company, we started as a B2B company. Over the past five years or so, we've really expanded our B2C offerings. And the trend we see broadly is those two markets really merging, where B2B companies, their customers are demanding B2C experiences, because their expectations are being set by these best-of-breed consumer experiences and consumer technologies. And we think that one of Salesforce's unique advantages, as it relates to B2B and B2C, is the fact that we do both. We're really the only company that has a complete customer success platform for both B2B and B2C. And it means that for B2B companies we can enable them to provide consumer-grade experiences, which is very unique in the marketplace. And for B2C companies, we bring this incredible sort of deep legacy of providing these next-generation sales and service experiences, and that experience is really driving our strategy in the B2C space. So we really view that as one of our strategic advantages is the fact that those are blurring, and we are equally interested in both parts of that market. And I think, Keith, do you want to take the artificial intelligence question?
Keith G. Block - salesforce.com, inc.: Yes, I'm happy to talk about artificial intelligence all day long. Look, I know there was a question about pricing, and Marc Benioff may want to weigh in on this. But look, at the end of the day, we're at the dawn of a new era, and we're very, very excited about Einstein. We've got a lot of momentum. Marc talked about the billion interactions and insights that are provided on a daily basis. And that we're really excited about that. That tells you a lot about what the potential can be. And we get excited because our AI, Einstein, is applied to specific use cases around sales and service and marketing. And we have companies who continue to experiment and expand with Einstein. ABB is a classic example of that. Einstein is being used to help bring better experiences in their sales cycles with their customers, as well as the way that they service their customers. And that is all hooked up into IoT. So you can imagine the possibilities with all this data being collected on their devices and their robots, and how Einstein can help them gain better insight. So it is early days. I think over time we'll be thinking very creatively and in an innovative way to sort through the pricing of Einstein. But again, our customers seem to really, really enjoy the benefits that we're seeing.
Operator: Your next question comes from Keith Weiss with Morgan Stanley.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Excellent. Thank you for taking the question and, again, good quarter. Marc, I totally agree with you, I'm all for allowing Keith to go out and sign another $2 billion in subscription business, because at the end of the day, we know that's going to generate really good cash flows over time. And you guys are generating a lot of cash.
Marc Russell Benioff - salesforce.com, inc.: I'm glad we're on the same page there.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Excellent. And you guys have been generating a lot of cash, it's building up on the balance sheet. There hasn't been a lot of M&A in overall software, and you guys haven't done anything big in a while. How should we think about the M&A environment going into calendar 2018, into the year ahead for you guys?
Mark J. Hawkins - salesforce.com, inc.: Sure. One of the things – let me just lead with it, if I may, Keith, and thanks for the comments. I think we always look for – over the history of the company, we look at companies that can add to our customer satisfaction and customer success. We look at great entrepreneurs. But we look for very unique things in the world that can help and be additive as we go to the future and our market space. So that will not change. And so you should expect that the way we've operated and the way we think about that, there's real continuity to that from that standpoint. That would be a starting point. And as far as the cash on the balance sheet, I'll just add that we're always looking at that. We're always looking at our capital allocation. But the number one thing we think about with the capital allocation is the fund growth, and that's our starting point for everything in that respect. So maybe I'll turn it over to Marc or to Keith or Bret for other comments. Keith, any additional comments?
Keith G. Block - salesforce.com, inc.: Yeah, look, I think we've talked about this historically, that when we think about M&A, we have a thought out process and methodology, and Mark Hawkins is exactly right. We look at a number of characteristics when we think about our growth strategy. But most importantly, when we think about acquisitions, we listen to our customers. Many times our customers guide us in terms of what we should be thinking about in terms of solutions for them. So whether it's the technology, the people as part of the acquisition, the culture and of course the financial metrics, these are all things that we consider. And again, there is a strategy and it's well thought out and there's a process to it.
Marc Russell Benioff - salesforce.com, inc.: I think we could also have Bret touch on that, since he is a product of one of our great acquisitions. Bret?
Bret Steven Taylor - salesforce.com, inc.: Yeah. I'm personally biased, but I think Salesforce has had an incredible acquisition strategy to date – just joking. No, I mean, I think it's very important that when we think about growth we align ourselves with our customers and align ourselves with the technological trends that are shifting our customers' customers' expectations. And fundamentally I think that the reason why our customers have partnered with Salesforce in those increasingly deep relationships is because they view Salesforce not just as a suite of products we have today, but as a partner to help guide them in the technological transformation that are coming in decades to come. And that will always involve a combination of organic and inorganic innovation. I think I'll just echo Keith's point that we are really following our customers, and also making sure that as we recognize significant technology trends like artificial intelligence that are shifting our customers' expectations, that we are aggressively leading by example there. So that our customers can depend on us as that technology partner.
Operator: And your next question comes from Kirk Materne with Evercore ISI.
Kirk Materne - Evercore ISI: Thanks very much, and I'll add my congrats on the really strong close to the year. Keith, obviously one of the great successes over the last couple years has been your vertical orientation, both from a go-to-market and a product perspective. Obviously, it sounds like a great year for financial services in particular, but I'm sure a lot of other verticals. My question is about healthcare. I mean, healthcare has been a vertical or an industry that's been desperate for innovation for a while as people are sort of changing the way you pay for healthcare. Your strategy would seem to make a lot of sense. I was just kind of curious if you think 2018 or the next – however you want to sort of couch it from a timeframe – are the customers poised to start thinking differently? And are they talking to you differently about how you can help them transform into more of a patient-oriented organization? Thanks.
Keith G. Block - salesforce.com, inc.: Yeah. Hey, Kirk, great to hear from you. So look, obviously the vertical strategy is paying off. And you mentioned financial services as well, and we've seen a very interesting change in that dynamic environment. When you think about the ease of regulations, the changes in the tax laws, that has just created an environment where IT dollars can now be spent more on innovation than on maintaining the legacy environments around compliance, as an example. So that's exciting. Similarly, in healthcare, one of the things that's changing the healthcare industry is technology overall, number one. Number two, if you think about it, patients are more empowered by technology than ever before. So these healthcare companies and the healthcare industry overall is ripe for transformation. That being said, it can be unclear at times because of regulations and the regulatory environment where exactly healthcare is going. In the quarter, we signed up and expanded some very, very strong relationships in the healthcare industry. Fortune 50, that is looking to transform their business with our Health Cloud, one of our organic industry products. I mentioned Anthem, which is obviously a very, very strong and leading healthcare provider. So whether it's patients, whether it's providers, whether it's medical device manufacturers, there are many, many ways to transform those industries around customer or client or patient engagement. Service is an example. It really becomes front and center when you think about the mission of a healthcare provider. So we have a pretty good vision for where the health care industry is going. We try to do a lot of collaboration and co-creation with our customers. We also listen to our customers and let them guide us. But we think this is potentially could be a very, very big area for us.
Operator: And your last question comes from Adam Holt from MoffettNathanson.
Adam Holt - MoffettNathanson LLC: Hi, everyone. Thanks for taking the question. My question is about the Platform and Other business. It looked like it accelerated in the quarter in an environment that some people might characterize as being more competitive with the public clouds and some of the application vendors now more aggressively touting their own platform-as-a-service businesses. How do you think about the drivers of the strength there this quarter and the outlook for the next several quarters? Maybe that's a question for Marc Benioff. I'm not sure. But I appreciate the answer. Thank you.
Marc Russell Benioff - salesforce.com, inc.: Well, I think we've moved into a new world. This is the fourth industrial revolution. We all know that. We can see the huge advancements in technology in our fingertips, how we're running this call, how all the computers and mobile devices that we're using, the artificial intelligence that we talked about, the autonomous vehicles that I saw going down the street today. There's so many exciting things that are happening, information sciences and biotechnology sciences. But as every company sees the fourth industrial revolution underway, they have to pick their place in it, what are you going to do, what is your position, and also what are your values, what's important to you. These two ideas, your vision and your values, I think will define who will be successful and who will fail in the fourth industrial revolution. For us, it's very simple. We squarely believe that we're in the age of a customer, and that for each and every one of our companies that we deal with around the world, that they have to connect with their customer in a whole new way, and to build this high fidelity relationship, whether they're a B2B or B2C customer, that they need to have this single view of the customer. It doesn't matter, like, in the previous discussion, it could be healthcare, it could be financial services, it could be retail. In each and every case, company-by-company is thinking how do I get to a single view of the customer. That is Salesforce's single focus. And we do that across many product lines, as you know. And in terms of what is important to us, well, there's nothing more important than trust. Trust is our highest value. And of course, growth is important to us as well. You can you see that in our numbers today. And innovation, as Bret was talking about, the reason that we're the number one CRM in the world is the tremendous innovation that we've brought to customers like we have in things like Einstein, or our new Lightning platform, or even Trailhead where you can learn how to become part the Salesforce economy and jump on this train so that you can be part of the fourth industrial revolution and be part of Salesforce. These things are so important. You can see how it shows up on our AppExchange with thousands of apps and companies that have been birthed through this vision. And then at the end of the day, we all have to be aware that the fourth industrial revolution has a dark side, and it could be that it creates more inequality. And that's why our core value we talked about is equality that we so squarely believe that we have to keep an eye on the equality of every human being, whether it's our employees, our customers, the communities that we're in, or even the environment or public education systems. And that these four values, trust, and growth, innovation and equality continue to serve us very well in our pursuit in this age of the customer.
Marc Russell Benioff - salesforce.com, inc.: Well, I want to thank everyone for an amazing fiscal year. All of our employees, customers, partners, all of our Ohana, thank you for everything that you have done for us, every single day. We appreciate it so greatly. And we will see you again at TrailheaDX, our annual Salesforce Developer Conference which will be March 28th and 29th in San Francisco. And I hope that all of you will join us for this exciting event. We'll have some very exciting product news and some incredible surprises there. And I'm about to show up on Kramer and from Salesforce tower here in New York City in just a couple minutes. If you'll turn on CNBC, you'll see me there. So thanks everybody. And we'll see you next quarter.
Operator: This concludes today's conference call. You may now disconnect. Thank you for your participation.